Operator: Good day, ladies and gentlemen, and welcome to the Marvell Technology Group 2007 Second Quarter Earnings Conference Call. My name is Latisha and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question and answer session towards the end of this conference. If at any time during the call you require assistance, please key * followed by 0 and a coordinator will be happy to assist you. As a reminder, this conference is being recorded for replay purposes. I would now turn the presentation over to your host for today's call, Dr. Sehat Sutardja, Chairman and CEO of Marvell Technology Group. Please proceed sir.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Thank you, Latisha. Welcome everyone to our Second Quarter Fiscal Year 2007 Conference Call. Weili Dai, Chief Operating Officer, and George Hervey, Vice President of Finance and Chief Financial Officer, are joining me on this call. Today, we reported the second quarter increased 47% from the prior year to $574 million. Also, our sequential second quarter revenue increased 10% from the prior quarter marked our 35th consecutive quarter of revenue growth. While at this time some of our end markets such as the PC markets are facing some near-term challenges. We continue to be very encouraged about the strong growth opportunities in front of us. Within Marvel we remain focused of executing on our long-term growth strategies and are excited about our leadership position in a growing number of high volume markets. We are very hard at work at continuing to aggressively leverage our core technology strings in developing leading edge solutions that provide our customers the highest level of performance and integration. I will elaborate more about our opportunities and our business progress, but first I will have George provide more insight into our second quarter financial results.
George Hervey, Vice President of Finance, CFO: Thank you, Sehat. Good afternoon, ladies and gentlemen. I would like to remind all participants that the following dialogue will contain predictions, estimates, and other forward-looking statements covering subjects such as enterprise, consumer and emerging market trends, competition, customers, suppliers, products and demand, revenue growth, gross margin expectations, operating expenses, other income, accounts receivable, and inventory. Such statements will be preceded by words like “expects”, “anticipates”, “believes”, “should”, “will”, “may” or words with similar importance. These statements include those related to the pace of our business for fiscal year 2007 and the impact of the continued adoption of our solutions on our revenue growth. The following factors, among others, could cause actual results to differ materially from those described in the forward-looking statements. They include the inability to further identify, develop, and achieve success for new products, services, and technologies, increased competition and its effect on pricing, spending, third-party relationships and revenues, as well as the inability to establish and maintain relationships with commerce, advertising, marketing, and technology providers. We direct your attention to our annual report on Form 10-K, recent quarterly reports on Form 10-Q, recent current reports on Forms 8-K and other Securities and Exchange Commission filings, all of which discuss other important risk factors that may affect our business, results of operations, and financial condition. Please be reminded that we undertake no obligation to revise or update publicly any forward-looking statements for any reason. As we stated in our press release we are limited in the amount of financial results we will be able to discuss today. Until our special committee of our Board of Directors completes its review of the Company’s historical stock option, practices, and related accounting matters. Moving to the second quarter 2007 financials, today we reported the net revenue for the second quarter of fiscal 2007 was a record $574 million, an increase of 47% over the $390 million reported for the comparable quarter in fiscal 2006, and a sequential increase of 10.1% from the first quarter of fiscal 2007. Now I’d like to make some additional comments on our second quarter results. While we experienced a healthy level of growth in the second quarter with most of our products performing as expected, we did encounter two end markets that performed below our expectations resulting in our overall second quarter growth to be below our second quarter guidance. For the second quarter, our storage related products experienced growth. The second quarter is normally a seasonally challenged time period, which was offset by market share gains by several of our customers and end-of-life shipments to Seagate for the Maxtor products. Our Prestera networking products contributed another solid quarter as we continued to gain market share. In the embedded market, our wireless LAN 802.11a and “bg” products continued to experience increasing demand and we began shipments to a new gaming platform. The second quarter was the first quarter that we included the printer ASIC products and they contributed revenue consistent with our expectations. As I mentioned, we did have “qn” markets that were below our expectations. The second quarter was a challenging quarter for PC related products and demand for Gigabit Ethernet products for the PC market was weak. Additionally, the development of the 802.11n market was negatively effected by an excess of products shipped into the channel during calendar second quarter resulting in demand significantly below our expectations. For the second quarter, our enterprise markets represented approximately 70% to 75% of revenue with consumer balance. We had three 10% customers in the second quarter -- Western Digital, Samsung, and Toshiba. While we cannot provide detailed numbers for our gross margin and operating expenses, the following are trends that we experienced during the quarter. As we indicated in our first quarter conference call with inclusion of the printer ASIC products, our second quarter gross margin percentage would decline from first quarter. During the quarter our gross margin percentage generated on shipments, from market pricing environment, and manufacturing performance were consistent with our expectations. For operating expenses our head count additions and fixed spending items were as planned. We did experience some favorable trends versus our plan for variable expense items. Our balance sheet continues to remain very strong. Our second quarter cash declined to $798 million from $921 million in the first quarter. During the quarter we made a payment of approximately $250 million to Avago for the acquisition of their printer ASIC business, which was partially offset by our continued strong cash flow of approximately $125 million. Our accounts receivable DSOs came in at 54 days, which is consistent with our expectations. Our inventory trends were as follows: for second quarter the quantity of products in our inventory increased. The increase was primarily the result of including the inventory acquired from Avago as well as the slightly lower than planned shipment level. We believe that the increase in product quantities is reasonable given the increase in our second quarter revenues. Now, I’d like to turn the call back to Sehat for comments on our business outlook.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Thanks, George. Although we currently are facing some near-term challenges in some our end markets, internally we continue to be very focused on expanding our technologies to further our leadership position in our existing markets while also enabling us to enter into additional new and large market opportunities. Today’s announcement of the world’s first integrated Bluetooth and wireless LAN single chip solution is another example of our ability to execute on such strategies. Our solution is to first integrate on a single chip full Bluetooth to plan out EDR and 802.11a, b, and g wireless LAN capabilities along with our Feroceon high-performance embedded CPU. This product builds upon the strong success of our embedded wireless LAN solutions which are shipping into such consumer devices such as cellphones, printers, game devices, and cameras. Clearly, we are seeing more and more consumer devices take advantage of this superior wireless connectivity of the 802.11 technologies for such advanced features as networking, Voice-over-IP, high-speed data connectivity, and peer-to-peer connectivity. However, although 802.11 is a superior technology, Bluetooth is not going away as it has already been strong adopted in consumer devices to perform many simple wireless tasks such as short-range connectivity applications for wireless headsets. By integrating Bluetooth into our wireless LAN solution, we offer our customer tremendous advantages of much smaller sized, low power, and higher performance. One of the technical challenges in combing Bluetooth and wireless LAN in a single device is that “b” and “g “wireless LAN radio and the Bluetooth radio share the same frequency and accordingly are subject to interference. With our single chip solution, our customers do not have to deal with such typical coexistence issues as our single chip solutions seamlessly takes care of the coexistence of the two radios with no compromise to the performance. Additionally, by also integrating our own Feroceon CPU and advance software tools, our single chip solution offers complete system host CPU offloads, which allows our customers by far the lowest powered solutions and ease of design. We have commenced sampling of these parts and are receiving very strong interest from our customers. Now, let’s talk about the emerging 802.11n market. Our retail solutions continue to experience strong adoption as we are the only supplier to be shipping to all five leading retail OEMs and the only company shipping 802.11n USB client solutions. Although this emerging market is facing some near-term inventory issues which will hamper short-term growth, we believe the benefits of this new wireless technology will further expand the total wireless LAN market. We believe many new obligations such as digital TVs, HD, and Blu-ray DVD players and set-top boxes will incorporate wireless LAN for the first time to enable the distribution of high-definition video in the home. We are engaged with customers in their initial designs for such applications as they work to roll out their new products next year. Now moving to Gigabit Ethernet. The Gigabit Ethernet market continues to be a strong market for Marvel as we continue to enjoy market transition from Fast Ethernet to Gigabit Ethernet. Our years of heavy investment in complete system level solutions of both software and silicone continues to put us ahead of the competition. Our advanced total solutions are enabling our customers tremendous time to market and performance advantages as they have success in their markets. As our customers realize these benefits, they are increasingly working to leverage our total solution across more of their product portfolios. We are now seeing the adoption of Gigabit technology continue its adoption migration from the high-end enterprise applications to the S&B market. We are the forefront of this transition as we are accelerating the replacement of unmanaged Fast Ethernet systems with smart managed Gigabit solutions, complete with our own management software. On the client side, although the adoption of Gigabit technology has largely run its course and our revenues are now more subject to end PC market dynamics, we continue to drive the adoption of our Yukon solutions as we expand our success from the white box market to leading PC OEM designs. In the printer market, we had a very successful first quarter with our new printer ASIC business that we acquired from Avago. We are very excited about the large opportunities that the printer market provides us as we work to expand our solutions to support our customers’ needs across their complete product portfolios from the large volume value printers to the high-end color hard copy solutions. The printer market is yet another very large market where we can leverage our high-performance Feroceon processors to offer our customers performance and speed. We are also making good progress in increasing our content in printers as we leverage our core technology to develop many other advanced solutions for our customers’ printer applications. Now moving to storage. We continued to make tremendous investments in our storage products and offer our customers superior solutions. Our heavy investment in our Feroceon processor is greatly differentiating our SOCs. Now with our upcoming position of the Intel XScale processor, our technology total leadership will only continue to expand, and no other company has the level of investment that we are making. By leveraging our Feroceon and XScale microprocessors along with our core storage technology, we will continue to offer our customers unmatched performance. With the advancement of solution and development we are confident that over time our technology core investments will result in continued market share gains and that our share in the desktop segment will grow to be a successful strong share that we have earned in the other segments. Lastly, I would like to make some comments on our pending acquisition of Intel’s communication and application processor business. As you know, we have been internally preparing for our entry into the cellphone market for many years. The size and the technology streams of the cellphone market make it a very attractive market for us even though the market has been largely dominated by a few very strong silicone suppliers. For the past five years we have been developing the technology for our entry into this market including our embedded Wi-Fi, Bluetooth, and more importantly our own Feroceon processors. We have been talking about the strength and capabilities that our Feroceon processor provides us in a number of embedded applications over the past few years. While this remains a very important use of this technology, we have also been hard at work on developing our own cellphone application processor base on this advanced microprocessor technology. The missing ingredients until now have been the base band technology and the related software platforms for the application processor, which for us to internally develop will take a few years of tremendous investment. As such, when Intel communication processor business became available, we were very excited. Now, instead of developing a base band from scratch, we are able to utilize the proven IP that Intel has heavily invested and proven for many years. By acquiring these advanced solutions, we are able to accelerate our entry into this very exciting market at a time when 3G and Smartphones are just beginning to take off. Additionally, the fact that this business comes with the XScale application processor business, it’s also very exciting to us. By combining our Feroceon and XScale teams we will create an incredible force with the strongest team focused on creating the most advanced application processors for the next-generation 3G and full featured Smartphones. Also, by combining the applications processors and base band technology with our embedded Wi-Fi, Bluetooth, and other multimedia capabilities, we believe we will be very strongly positioned in the cellphone market. Since the time we announced the acquisition we have met with many of the customers and employees of this business. The feedback has been very positive as they understand the tremendous investment, roadmap, and commitment we have for this business. Given the combination of this acquired technology along with our own efforts for the cellphone applications, our customers are confident that they now have a new strong, second, and more importantly a more complete 3G supplier in the cellphone market. As well, we are confident that our move into the cellphone market, which is one of the largest semiconductor markets in the world, will clearly take Marvel to the next level. Now, I would like to turn the call back to George for additional comments regarding our financial and guidance for the next quarter for this fiscal year.
George Hervey, Vice President of Finance, CFO: Thanks, Sehat. As I mentioned in my second quarter commentary, many of our products and end markets performed to our expectations while two end markets performed below our expectations. As we entered third quarter most of the conditions that were present in second quarter continue into third quarter. We remain concerned of our overall demand for our storage and Gigabit Ethernet PC-related products and the likelihood that we will see a lower than normal seasonal increase in demand for third quarter. Additionally, based on the channel inventory situation in the 802.11n market, we do not expect to have growth from that market in the third quarter. We believe that demand should increase for our Prestera and printer ASIC products and expect to continue ramping new platforms in the embedded 802.11 market. Based on the above factors, we believe that our third quarter revenue should increase approximately 1% from the second quarter. While we remain positive about our business, our current visibility into how the market conditions will affect our revenue during third quarter and fourth quarter is unclear. As a result we are lowering our revenue estimate for fiscal ’07 from the previous guidance of $2.37 billion to $2.425 billion to a revised range of $2.27 billion to $2.29 billion. Our gross margin percentage and operating expense percentages will also be affected. We currently expect a less favorable product mix for our revenue in third quarter and fourth quarter resulting in a slight decline in gross margin percentage. Although we are experiencing a period of slower revenue growth, we believe it’s very important to continue our investment in new products and process development. We are reviewing discretionary spending to ensure that those levels more closely reflect the growth of our business. However, we do anticipate that the third quarter operating expenses excluding stock option related expenses to grow on a percentage basis significantly higher than our third quarter revenue growth expectations. Now, I’d like to turn the call back to Sehat.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Thank you, George. That completes our commentary. Latisha, could you please poll for questions?
Operator: Thank you. At this time, ladies and gentlemen, if you wish to ask a question, please press key * followed by 1 on your touchtone telephone. If the question has been answered or your wish to withdraw your question please key * followed by 2. Again, please press * and 1 to ask a question. Your first question comes from the line of Michael Masdea representing Credit Suisse; please proceed.
Michael Masdea, Credit Suisse First Boston: Thanks a lot. I guess the biggest question a lot of people will be asking is if this is a change in your long-term growth rate or if the whole end market slowing down and the concerns that are out there, can you just give us your best answer in terms of how you see your future growth rate and what are going to be the biggest drivers to that?
George Hervey, Vice President of Finance, CFO: I think Michael this is a temporary period that we are going through here. There has been a lot of talk about the PC market of which we obviously have a very significant position, and it just appears here that there are challenges for the back half which we have to take into account when we look at our gross prospects. We’re very excited about all the things we have on our plate with the embedded and all the other products that we talked about. So, I do not believe we are anticipating any significant change in our long-term growth rate. Remember, we are a bigger company now so some of that plays into that, but no you should not be thinking that this is a material change to our long-term growth rate.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: A few other things we are working on that are not generating revenue yet, so hopefully sometime in the next year we will start seeing those revenues.
Michael Masdea, Credit Suisse First Boston: In terms of some of the weakness that’s hitting now, would you say that visibility has decreased or would you say that your visibility is still good, it’s just your customers are a little bit less optimistic?
George Hervey, Vice President of Finance, CFO: It’s a little bit more the latter. If you’ll look at the commentary about the PC markets, some of the guidance of people that we sell to and so forth have in that market, there are wide variations and widespread in the guidance. So that to us is sending the message that there’s some uncertainty to what’s going on there.
Michael Masdea, Credit Suisse First Boston: Right, this is the last one for me. The desktop business, so how will make a comment about just being as successful in the desktop as you’ve been in the enterprise and mobile areas. Can you give us a timeframe for that kind of goal or is that something where we’re going to start to see fruits in ’07 or what timeframe?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: We discussed this many, many times in the past; when it happens it happens. The only thing I can talk about is that we are accelerating our advancement in the technology that gets into those products just like we have done in the past for mobile and the enterprise markets, we hope to have shorter times to seek equal success in the business. As I said, this is the kind of storage business where either you’ve got zero business on the new account or you got 100% of the other business. Our track record, I believe the customers would like to see better products and we’re confident that in the long run we will win this business as well.
Michael Masdea, Credit Suisse First Boston: Thanks a lot guys.
Operator: From the line of Cowen & Co you have a question from the line of Jim Liang; please proceed.
Jim Liang, Cowen & Co: Yes, thank you. Can you give us an update on the integration of the Avago printer ASIC business in terms of cost reductions, margin improvement, product roadmap, and future design win activities? Thank you.
Weili Dai, COO, EVP of Communications and Consumer Business: It has been going very well. I think as far as the roadmap it’s extremely strong. The team has built very tight relationships supporting HP. And in terms of design win we have a number of designs since May 1st after the closing. As far as the cost and margin, we continue to work on this and we’ll give you future updates hopefully in the next quarter or so, but we are working on it.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: The high priority obviously is to address the next-generation devices to leverage the advantages of our technology into this market.
George Hervey, Vice President of Finance, CFO: We had made some progress, Jim, as we had indicated previously by putting them into our manufacturing flow and with our buying relationships with our suppliers. We have sort of got the low hanging fruit and we are realizing that already, and that is contributing positively. But as Weili indicated, there’s still some more room for us to do some work there.
Jim Liang, Cowen & Co: On this subject, George, are you seeing a bit of more favorable pricing terms in general from your foundry suppliers or how do you see that developing in the next couple of quarters?
George Hervey, Vice President of Finance, CFO: As we said repeatedly, our pricing with our suppliers is really a partnership type of pricing. We don’t go up and down necessarily with the little changes in the market. We’re always in there fearing with our partners what our opportunities are, so our pricing doesn’t move just because there’s a little change in the market.
Jim Liang, Cowen & Co: Okay, just lastly, if I take the midpoint of the full year guidance, it looks like fourth quarter could be up potentially mid single digits sequentially. Can you just give us a little bit more color as far as your visibility into the fourth quarter and potentially areas of growth drivers? Thank you.
George Hervey, Vice President of Finance, CFO: Jim, at this point I think we’re going to see a little bit more development in the market. We are very concerned about seasonality and we want to see how that plays out. I think we’ve taken a pretty conservative view at the moment on that, we hope we’re wrong and we hope it is better, but right now we need to take that view. So, I think before we want to get out in front of the fourth quarter we want to see…because that will be a big impact if in fact seasonality as far down as we are thinking…so, we’ll just have to wait to give you an update on that.
Jim Liang, Cowen & Co: Thank you very much.
Operator: And representing JP Morgan you have a question from the line of William Lewis; please proceed.
William Lewis, JP Morgan: Thanks. I’d like to ask about the Intel base band communications processor business, any kind of an update you could give in particular, Sehat, your comments about the processor. It sounds like what you really bought it for in particular as a base band, though the majority of the revenue is coming in the application processor where you can have some overlap. Could you kind of walk us through how you see the XScale processor versus your own Feroceon, it is going to converge over time, and how do you think about the base band business, they haven’t had a lot of success there, what is it that gives you comfort, there is good technology there, customer adoption, how are you going to improve on that?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Obviously the XScale application processor has been around in the market a lot longer than the base band processor. The base band processor is, as I’ve mentioned in my comments, with this base band processor we are now practically the second provider of the 3G solution in the market, independent third-party suppliers of 3G base band processors in the market. The XScale application processor obviously is very, very successful in the market, there’s no doubt about that. It is known in the industry as a very powerful processor for Smartphones. I talked about Feroceon. Feroceon is equally powerful as the XScale. There are some difference between XScale and the Feroceon, but in general there are certain advantages that XScale has and there are certain advantages that our Feroceon has, but the combined teams and the combined efforts will obviously have the best of the two. So, obviously, we are even more positive about the future of the application processor part of the business. But, despite the fact that you mentioned the base band processor is a smaller part of the business, which is true, that does not mean that the base band processor is not going to be bigger than the application processor part of the business; put it as the 3G market becomes more important, and we believe that 3G is going to take off. We do not know how long it’s going to take for the 3G market to take off. But regardless of whether it’s going to take off a few years from now or a year from now, we are not that concerned because there is a lot more stuff that we can add into the platforms, the Wi-Fi, the Bluetooth, the other types of radio technologies that we can add to this. So, it’s a long-term investment for our long-term growth.
Weili Dai, COO, EVP of Communications and Consumer Business: I just want to add on top of what Sehat said. If you look at XScale today, it’s a platform solution with a very mature and sophisticated software in that space. And if you look at Feroceon is for embedded purposes. So from a silicone technology standpoint of view, if you put the two pieces together and with all the great work that Intel has done, we offer customers the best total solution. And the other piece, which is very important, even though it’s a little subtle, which is the overall software third-party ecosystem, this is a very good presence for XScale. So, we believe this is a great opportunity for us and of course we’ll do quite a bit of additional investment to make this into a very successful long-term business.
William Lewis, JP Morgan: Thank you, and as a quick followup, do you have a view at this point, a couple of months into it, how many employees are likely to be coming over?
Weili Dai, COO, EVP of Communications and Consumer Business: The majority and we are very committed.
William Lewis, JP Morgan: Great, thank you.
Operator: And with Morgan Stanley you have a question from the line of Louis Gerhardy; please proceed.
Louis Gerhardy, Morgan Stanley: Good afternoon. You mentioned in fiscal second quarter the Yukon and the Pre-N was why you were slightly below plan, and then in fiscal third quarter just to make sure I got it right, you’re thinking Yukon and Pre-N will also be weak but also storage, and then whether there is any other change?
George Hervey, Vice President of Finance, CFO: Well, it’s no Yukon per se, Louis. It’s really business with Intel which is branded under Intel. It’s the same basic technology but it’s not Yukon, it’s the partnership products that we do from Intel. I think what we’re seeing in the expansion that we’re making in the third quarter is that the overall conditions in the PC market look challenging and there’s a little bit more challenge for storage to grow in that environment now, so that is true.
Louis Gerhardy, Morgan Stanley: Okay, and then your wireless LAN business, I heard what you said about 3N in fiscal second quarter, but was the overall business up, and in fiscal third quarter also would you expect the overall business to be up or flat or down?
George Hervey, Vice President of Finance, CFO: You’re including “n”, is that what you’re saying?
Louis Gerhardy, Morgan Stanley: Yes.
George Hervey, Vice President of Finance, CFO: Sure, there’s definitely growth because we did ship some in, we didn’t ship zero, but I have to say it was below our expectations. It probably is not going to grow in the third quarter, but the embedded 802.11n revenue base is going to grow in third quarter.
Louis Gerhardy, Morgan Stanley: Okay, I got that. Just a question on the Bluetooth wireless LAN product, thinking about your vision in that space, do you ultimately see a product like this supporting other types of radios like DVB-H and FM radio and GPS, just trying to understand the platform going forward, what your ideas are there?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: I should address the Bluetooth question and why now we only introduced the Bluetooth. As you know, many years ago I decided that with the limited resources that we had we had to focus on embedded Wi-Fi even for the cellphones, because we truly believed that Wi-Fi is the superior technology and can be used for long range and of course can be used also for short range headset application. I made a mistake a little bit in forecasting that because Bluetooth is a much simpler technology relative to Wi-Fi, and it was adopted earlier into the cellphones, for example for the headset, lots of applications, and we missed the boat on the Bluetooth side. But, now we have the solutions, so we realize that Bluetooth is not going to go away. We had an internal development effort for the last year and a half or so and over the last two years or so we have an internal effort, and we now have a device there, an integrated solution for both the superior Wi-Fi solution as well as the Bluetooth that everybody else has. So, we believe this is going to be a big market for the cellphones, for example, because now they can have both solutions in basically the same footprint of what the Bluetooth device used to occupy. Now, you can do Voice-over-IP over the enterprise networks of all your home DSL networks or cable modem networks. So, this is a major step for us as we entered the cellphone market. Now, you’re asking if this leads to other types of integration. Yes, over time we do believe other types of integration make sense, integrating DVB-H, WAN when the services are widely available. So, if we are integrating GPS, it’s yes; if we are integrating FM radio, yes and in time; as the market requirement comes along, we do believe that sort of integration makes sense, and obviously we are working on those.
Louis Gerhardy, Morgan Stanley: Thank you very much
Operator: And your next question comes from the line of Seogju Lee with Goldman Sachs; please proceed.
Seogju Lee, Goldman Sachs: Hi, thanks. George, in terms of the options for view if you could just go into a little detail of how that’s proceeding in terms of just sort of time lines and what the issues might be?
George Hervey, Vice President of Finance, CFO: Well obviously Seogju I really can’t say any more than we’ve said in our press release except maybe I’ll clarify it one more time. Our internal options we view is ongoing and we’ll still continue for a period of time long enough that we probably will not be in a position by the early part of September to do a Q filing, but we’re hoping that as we indicated it could be completed as quickly as possible so we can get this issue behind us, and that’s kind of the path we’re on right now.
Seogju Lee, Goldman Sachs: Okay, in terms of the hard disc drive market, Sehat, can you just talk about the competitive dynamics there, your main competitor or primary competitor in the SOC market Agere has made some claims about getting from design wins with Asian OEMs, and just your thoughts would be very helpful. Thanks
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Sure, the primary competitor as you mentioned is Agere. So, in terms of the technology we clearly obviously have superior solutions over the last 11 years or so we have been in the business. We are always ahead in terms of introducing technology and given the process technology we are always early. So, this is the reason why every customer is using our technology they are all winning market share, and we could see this clearly over the last seven years. Any customer that uses our technologies always gains market share. So this is another reason why, and I mentioned that we have not just better rechannel technologies but also better microprocessor technology for this business. We are also confident that in the long run we will win in this business. For the part of the business that…which is the desktop, but we already want the enterprise and the mobile space.
Seogju Lee, Goldman Sachs: Okay, but in terms of just competitively accounts like Samsung, how do you feel about your market share there?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: We feel just fine. In business people want to use the best technology. As long as we have the best technology we feel just fine.
George Hervey, Vice President of Finance, CFO: Over the last three to four years periodically the sort of things surfaced where someone…it’s not the first time and when all the smoke clears technology wins and we’re the technology leaders.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: And I want to address that later that this storage business is a tough business from the point of view that in the M storage device people make money or lose money simply because of the yield, what is the yield that they can get out of the drive, manufacturing, and also how fast they can go to time to market. They make the majority of the money at the early stages of the product introductions and at the end of life they might not make as much money. So, customers using better technology will most likely have higher likelihood to make money in this business versus people that are lagging in the technology space.
Seogju Lee, Goldman Sachs: Thanks, good luck.
Operator: Next on the line of Lehman Brothers you have a question from Arnab Chanda; please proceed.
Arnab Chanda, Lehman Brothers: Thank you, I have a couple of questions, maybe the first for either one of you, George or Sehat. The question is about the PC market, it seems like in hard drive there is some inventory build even on the finished goods side while there certainly have been issues in the end PC market, are you seeing any qualitative different characteristic between say the hard drive market and the Gigabit client market? You also talked about Intel, is it is a question of say maybe even Intel losing share, if you could discuss that a little bit and I have a couple of followups.
George Hervey, Vice President of Finance, CFO: I don’t think Intel is losing share. The drive market has certain characteristics and I think our comment about less than seasonal growth is really the result of the commentary that you’ve been hearing out there from the market, and since that is our market we’re basically reflecting the same caution that you’re hearing out there in that market. On the Gigabit Ethernet that’s just an overall market demand issue. It has nothing to do with an Intel specific place in the market. It’s really just that we see…and I was clarifying the other question about that that is not the Yukon product being shipped to Intel, it’s the partnership product being shipped to Intel…so in general we just feel and see that those markets have challenges here in the third quarter.
Arnab Chanda, Lehman Brothers: Thank you. One question, historically Marvel has not pushed past technology but it seems like especially given some of the acquisitions that that will change in the future, if you could comment on that if that is true, and in that case are we going to see a sort of a gross margin going towards sort of that low 50% range versus you being in the mid 50s only a couple of quarters ago, if you could just discuss that a little bit, thanks.
George Hervey, Vice President of Finance, CFO: I think we feel comfortable with our model that we’ve put out there right now, and again I’m not supposed to mention any numbers today, so I won’t quantify it again. But, everyone knows the model that we’ve been operating under and we don’t expect to violate that model. Now, moving forward, assuming we are successful in closing the purchase of the XScale business from Intel in the early part of fourth quarter, we are going to be incorporating that into our results beginning in the fourth quarter, and the margin profile of that business is below the historical range of Marvel, and we did give some indications at the time we announced the transaction what that would do to our longer term model. So, I don’t see at this point, Arnab, anything going on that would change those assumptions. But yes, as we get to yield with more varied pieces of business, it’s a different mix of products.
Arnab Chanda, Lehman Brothers: One last question please, this is about Intel again. Either for Sehat or Weili, it’s been a little bit of time I’m sure you spent in this market and clearly Intel has not historically been a Tier 1 player, maybe stronger in application processor and base band, and if I remember they bought a DSP communications business which has been on for a long time, and Marvel is also a relatively new player, obviously very strong in other markets but not necessarily established in handsets. Other than sort of pure technology, it seems like there are things like software that Weili talked about, what will make you more successful and what are you seeing from the customers after this process? Thanks.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Maybe I can address this from a different angle. As you know, we’ve been looking at trying to get into this business for the last many, many years. We started our embedded Wi-Fi development and the processor development with the anticipation that further down the road we have to get into the cellphone base band business. So, we’ve been looking at how to get into this business, we have been looking at how to develop technology, we have several activities going on in-house, and because of our partnership with Intel we also know what’s going on there. The only thing I can say is we are very, very comfortable that this is the right thing to do for us to acquire the Intel business despite the perception of theirs that Intel is not a tier 1 supplier. That’s okay and we are not concerned about that. We are looking from the technology, what is the base technology that we are getting, what we can do with that, and what we can enhance from that. So, we are extremely comfortable that this is the right thing for us to do.
Arnab Chanda, Lehman Brothers: Thanks.
Operator: And your next question comes from the line of Shaw Wu representing American Technology Research; please proceed.
Shaw Wu, American Technology Research: Thanks. I’d like to revisit the competitive question that was asked early on. I’m just looking at your guidance over the next two quarters and I understand a lot of it is the kind of the market trends in terms of the PC end market, but it appears that Agere has been gaining some share at Samsung and there are some pockets they have gained some share, some of your desktop customers. I just want a little more color on that and why you don’t think that’s a longer term trend?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: First of all let me answer the short one. I do not believe Agere has gained market share in this market.
George Hervey, Vice President of Finance, CFO: What Sehat said is absolutely dead right. They are making no progress against us with any of our key customers, and we say we are taking a conservative view of this at this time given all the things we see in the market regarding the challenges that are out there, our competitive position continues to remain and our market share at the leading customers we have has not changed one bit.
Operator: And your next question comes from the line of Penny Su with Thomas Weisel; please proceed.
Penny Su, Thomas Weisel Partners: Hi, thanks for taking the question. Just a question on your guidance for the fourth quarter, it seems like it just grew a couple of points modestly in order to meet the new guidance of kind of the old guidance, but really, I’m wondering if there is any sort of new product ramp that could potentially sort of ring the fourth quarter growth maybe more in line with general growth drive in the past and thinking optical drives or maybe an expected work down of inventory that you have in “n”?
George Hervey, Vice President of Finance, CFO: Well, as we said it’s too early for us to try to get too precise about the fourth quarter. Clearly, we’ve been very consistent that optical drives don’t start until next year, so that’s not something that’s on the table. As far as the 11n market and overall PC seasonality and the growth that we expect, we just need a little bit more time to digest the trends that are there. We’re expecting and hoping that they will improve from where we see them today, but it’s just not prudent at this point to go any further than what we’ve already done.
Penny Su, Thomas Weisel Partners: Okay, and just a followup question on embedded wireless then, could you sort of rank the following in markets just in terms of what you see is growing the fastest over the next quarter or two, one being the UMA handsets, secondly being gaming consoles, and third being printers or other handheld devices?
George Hervey, Vice President of Finance, CFO: The designs are being done across all those. I would probably say handsets have an awful lot of design activity, but the time from design to revenue there takes a while. The segment that has moved the quickest…
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: I’ll mention about that because we are also starting to learn about this business. A lot of times you introduce products into the market, the cellphones, some products have like three to four years of life. When it takes off it takes off, but things have been slower than we normally have seen in the PC market.
George Hervey, Vice President of Finance, CFO: What we have experienced, though, is that the gaming sector is definitely the quickest to adopt the technology and bring it to the market, and of course we’ve been the key player and continue to be the key player in enabling the manufacturers and the game consoles to have wireless connectivity, and we’re very excited about that.
Penny Su, Thomas Weisel Partners: All right, thank you.
Operator: And your next question comes from the line of Ross Seymore with Deutsche Bank; please proceed.
Ross Seymore, Deutsche Bank: Thanks guys, just a question on the lower than seasonal outlook for everything PC. There’s been a decent debate whether seasonality was going to be just delayed or in fact weaker, it seems like you’re voting in the latter. But from a unit perspective, a lot of the data points look like people are looking at the former, that it’s going to be a little bit later but people are guiding to decent growth. What is it that you’re seeing that makes you believe that view is not going to come to fruition?
George Hervey, Vice President of Finance, CFO: I’m not sure we look at it exactly on that basis, Ross. Our approach to coming up with what we expect our revenue expectation going forward is a bottoms up process and it’s fed by what we are aware of as demand from our end customers. So that’s really the way we look at it, and therefore the guidance that we’re talking about is reflecting the end demand that we’re seeing from our customers. Now, how that plays into those two scenarios I can’t obviously determine which one except to tell you that our view is based on what we see the demand coming to us.
Ross Seymore, Deutsche Bank: And maybe a hard drive specific question, I think it’s quite clear that your customers have gained share versus your competitors’ customers recently, especially with the merger of the two big HDD OEMs, how long do you think that sort of share shift can occur before it comes to a point that your growth above and beyond the overall market will be dependent on penetrating Seagate?
George Hervey, Vice President of Finance, CFO: Correct, that period ended at the end of the second quarter.
Ross Seymore, Deutsche Bank: Okay, so from here forward basically you’ll grow in line or you’ll have to take share at Seagate?
George Hervey, Vice President of Finance, CFO: I don’t know about Seagate, we have to gain market share. We will now look more to the market.
Ross Seymore, Deutsche Bank: And shifting really quickly over the wireless LAN side, you and Broadcom have both pointed to the 802.11n side and the inventory problems there. From your point of view is that inventory problem or lack of demand due to the price point being inappropriate for what consumers are looking for, some quality issues within your operability, etc., or some variable that I’m not aware of?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Price point obviously is an issue and people get used to paying things for nothing, and advanced technology creates some challenge but it is hard to move from “bg” to “n”. But the price point will naturally go down as the volume goes up as well as the next-generation devices come into the market naturally, and more in the new markets the consumers get into the home. But more important probably is the fact that some of our competitors are being too aggressive in terms of shipping the products more than what the channel could deliver. If we had known this we should have done the same thing, but it’s too late for us to do that and we’re not going to do it now.
Ross Seymore, Deutsche Bank: Okay, so from that it sounds like you didn’t ship as much, so if there is an inventory correction to occur in there yours wouldn’t be as bad as some of the other competitors?
George Hervey, Vice President of Finance, CFO: Hopefully, that’s what has been discussed by other suppliers to that market about the conditions here in the third quarter.
Ross Seymore, Deutsche Bank: Okay, then one final wireless LAN question and then I’ll go away. On the wireless LAN Bluetooth shipped that you announced, typically if I remember right when you guys announced a product you usually have design wins in your pocket already; one is that the case now and two when would we expect to see revenues from that product begin to hit your income statement?
Weili Dai, COO, EVP of Communications and Consumer Business: The design win already happened with Tier 1 customers. The revenue you should expect in decent volume I would say in the second half of next year.
Ross Seymore, Deutsche Bank: Any particular application?
Weili Dai, COO, EVP of Communications and Consumer Business: Across the board.
Ross Seymore, Deutsche Bank: Okay, thank you.
Operator: And your next question comes from the line of Srini Pajjuri with Merrill Lynch; please proceed.
Srini Pajjuri, Merrill Lynch: Thank you. George, you said third quarter expenses will be significantly higher, could you help us understand what’s driving that increase?
George Hervey, Vice President of Finance, CFO: Well, higher revenue streams. With a revenue guidance of 1% our expenses are going to go significantly more than 1%, so that’s what they are calculating.
Srini Pajjuri, Merrill Lynch: Okay, fair enough. And then, Sehat, just going back to the Bluetooth wireless LAN product, do you have any plan to announce a standalone Bluetooth chip at this point or are you going to focus on the integrated market?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: In time we’ll do that standalone device, but right now we are focused on fully integrated. We believe the market will move to integrated anyway. The standalone device is not as important as the integrated device. So, we have decided it not to do it and most of the customers that we talked to preferred to have integrated anyway.
Srini Pajjuri, Merrill Lynch: Okay, and in terms of pricing, what sort of price premium are you expecting for this product, if you compare normal wireless LAN chip versus integrated Bluetooth wireless LAN?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Actually, our customers will see lower costs because of the lower chip counts, lower assembly costs, lower management costs. There are bunch of things that disappear from the board, also easier board design. So, there is quite a bit of cost reduction especially for people that need both functions on a phone. And we’ve been talking about Wi-Fi getting to the front and we really mean it because we are seeing a lot of people designing Wi-Fi into the phone. Bluetooth is not going to get away, and this is the reason why about a year and a half ago we started an internal Bluetooth R&D to deal with the fact that they don’t have too much space on the phone and yet they want to have both of them. So, in terms of costs we have a natural cost reduction as we go to smaller process geometries over the next few years. So, it’s not an issue at this point.
Srini Pajjuri, Merrill Lynch: Finally, on the Intel business, you talked about the base band capability but my understanding is that Intel relies on some third party for protocol stack, do you have any plans?
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: With some customers.
Srini Pajjuri, Merrill Lynch: Okay, does Intel have that capability today or if not do you have any plans to invest or acquire that capability going forward?
Weili Dai, COO, EVP of Communications and Consumer Business: As far as the third-party dependencies from an IP standpoint of view, it’s going to be addressed, so it should not be an issue.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: As I mentioned, some customers already have their own protocol stacks.
Operator: And with Harris Nesbitt your next question comes from the line of Ambrish Srivastava; please proceed.
Ambrish Srivastava, Harris Nesbitt Gerard: Hi guys. George, a couple of clarifications and then I have two followups please. Number one, what was the year-over-year growth on the organic business?
George Hervey, Vice President of Finance, CFO: Can you say that one more time, Ambrish?
Ambrish Srivastava, Harris Nesbitt Gerard: The year-over-year growth for the organic business during the three acquisitions?
George Hervey, Vice President of Finance, CFO: You know, I haven’t figured that number out precisely. We have the three in there, so I don’t have an answer, I’d have to look at it.
Ambrish Srivastava, Harris Nesbitt Gerard: Okay, I’ll follow with you. And then a clarification on “n”, did you say that you expect “n” to grow in the third quarter or not?
George Hervey, Vice President of Finance, CFO: We said it would not grow in the third quarter, our expectations are not to see growth in the third quarter.
Ambrish Srivastava, Harris Nesbitt Gerard: So, are you expecting growth in the fourth quarter or it’s so far out that it’s tough to tell right now?
George Hervey, Vice President of Finance, CFO: I don’t think it’s productive at this point, Ambrish, to try to get too detailed about the fourth quarter.
Ambrish Srivastava, Harris Nesbitt Gerard: Okay, that’s fine, that’s fair. A question on the Avago business, now that it is part of the company, what is the expectation, how should we be looking at it in terms of the quarterly growth, and what’s the expectation for the current quarter?
George Hervey, Vice President of Finance, CFO: You know we don’t give detail by any products except we gave the starting point which was $30 million, and the full quarter run rate is about $35 million, so I think that’s the point you should be at.
Ambrish Srivastava, Harris Nesbitt Gerard: So, the full quarterly run rate is $35 million?
George Hervey, Vice President of Finance, CFO: Yes.
Ambrish Srivastava, Harris Nesbitt Gerard: And then the final question on inventory, George, and then I’ll go away. Your HDD customers, not just specifically your customer, the other guy has a lot of inventory, and you said that you build inventory on your organic business as well excluding the Avago business, do you have a concern here given the high level that you had going into the quarter?
George Hervey, Vice President of Finance, CFO: No, it’s very difficult to answer this question because of the constraints that we have to talk about today, because if I could talk the way normally I would talk it would make perfect sense, but I can’t. Our unit inventory today is in very good balance to the level that we’re going to be shipping moving forward. It’s tracking to where we thought it would be at this point, so I think we’re comfortable and I know we’re comfortable with the level of inventory, because it’s not just the storage; it’s across all of our products. So I think our inventory now, two quarters after the build that we experienced in the fourth quarter, is much more balanced at this point.
Ambrish Srivastava, Harris Nesbitt Gerard: Okay but your expectation for the year has changed versus what it was earlier in the year, and that’s why I asked the question.
George Hervey, Vice President of Finance, CFO: We still have a happy year to go, so we will make sure we are diligent it doesn’t get out of control.
Ambrish Srivastava, Harris Nesbitt Gerard: Okay, thanks George.
Operator: Ladies and gentlemen, we have now reached our time limit for the conference all. At this time, I would turn the call over to Mr. Sutardja for closing remarks.
Dr. Sehat Sutardja, Chairman, CEO, President, Co-Founder: Thank you, Latisha. This completes our second quarter and fiscal year 2007 conference all. I would like to thank everyone for joining us and look forward to updating you on the next quarter. Thank you.
Operator: Thank you for your participation in today’s conference, ladies and gentlemen, this concludes the presentation, you may all disconnect and have a good day.